Operator: Hello and welcome to McDonald's April 22, 2016 Investor Conference Call. At the request of McDonald's Corporation, this conference is being recorded. Following today's presentation, there will be a question-and-answer session for investors. I would now like to turn the conference over to Mr. Chris Stent, Vice President of Investor Relations for McDonald's Corporation. Mr. Stent, you may begin.
Chris Stent - Vice President-Investor Relations: Hello, everyone, and thank you for joining us. With me on the call are President and Chief Executive Officer, Steve Easterbrook; and Chief Financial Officer, Kevin Ozan. Today's conference call is being webcast live and recorded for replay by webcast. Before I turn it over to Steve, I want to remind everyone that the forward-looking statements in our earnings release and 8-K filing also apply to our comments. Both documents are available on www.investor.mcdonalds.com, as are reconciliations of any non-GAAP financial measures mentioned on today's call with their corresponding GAAP measures. And now, I'd like to turn it over to Steve.
Stephen J. Easterbrook - President, Chief Executive Officer & Director: Thanks, Chris. Good morning, everyone. We began 2016 in a manner consistent with how we ended 2015, as a more focused, aligned system with positive momentum in every business segment. I'm pleased to report that this momentum continued through first quarter 2016, with meaningful gains in both top and bottom-line performance. Global comparable sales increased 6.2%, and earnings per share grew 26% in constant currencies, excluding the impact of the comparison against prior year's strategic charges. The momentum we're experiencing is broad-based. All business segments are contributing to our growth. The actions we are taking are driving noticeable change for our customers and giving them more reasons to visit McDonald's. This is reflected not only in our financial performance, but also in the recent market share growth we're seeing across most of our major markets. Whilst our first quarter comparable sales performance benefited from tailwinds that will not necessarily recur in future quarters, such as leap day, strong sales recovery in Japan, and milder weather across the winter, our underlying operating performance is solid and consistent with our expectations when we developed our 2016 plans. This success is driven, in large part, by our singular focus on executing the turnaround plan. Grounded in putting customers back at the heart of everything we do, we're committed to running great restaurants and elevating all aspects of the McDonald's experience. Our biennial convention last week came at an opportune time. Nearly 14,000 owner/operators, suppliers, and employees from around the world gathered to galvanize around our biggest business opportunities: our food; our people; the customer experience; and our brands. It was energizing to see everyone motivated to act and united around the opportunities we are seizing, as we strive to be recognized as a modern, progressive burger company by our customers. When we align behind fewer bigger priorities, we activate our size and scale advantages like no other company in our industry. Let's turn now to segment performance and the specific initiatives underway across our major markets. Beginning with the U.S., comparable sales for the quarter increased 5.4%. All Day Breakfast continues to provide customers with new reasons to visit McDonald's to enjoy their favorite breakfast food and beverages in the morning and lunch and throughout the day. In addition, All Day Breakfast fills a price gap on the menu. And customers are responding by trading up or adding All Day Breakfast items to their orders. Whilst we're no longer in the launch phase, this platform remains a significant contributor to top-line results, and we're already looking at ways to extend it in the future in response to customers' feedback. U.S. is also taking steps to fortify its appeal to value-conscious customers. The McPick 2 platform provides customers with more choices at compelling price points, and it gives us added flexibility at both national and local levels. We tested two versions of the platform in the first quarter: McPick 2 for $2 in January; and McPick 2 for $5 in March. The offerings were designed to target different customers, and both resonated well. Beyond All Day Breakfast and value, we're pursuing additional opportunities to fuel momentum. This includes further enhancements of our core menu items to: improve quality perceptions of our food; sustaining our heightened focus on operations, especially in our drive-thrus, to improve accuracy and speed of service; and additional opportunities to simplify our menu and the overall restaurant experience for our customers and crew. Customers in the U.S. are noticing a difference. We experienced a 6% improvement in our overall customer satisfaction scores compared to the first quarter of last year. And we are gaining share relative to the QSR sandwich segment, with a positive comparable sales gap of 140 basis points for the quarter. Let's turn now to the International Lead segment. First quarter comparable sales grew 5.2%, with the top five markets delivering positive comparable sales for the quarter, though Germany was relatively flat. The U.K., Australia, and Canada continue their strong track records of positive comparable sales performance. In fact, first quarter marked the U.K.'s 40th consecutive quarter of growth. These markets share similar characteristics that underlie their success. This includes: the execution of customer-centric brands spanning multiple initiatives, such as menu, value, marketing and promotions; service enhancements, as they make meaningful progress toward Experience of the Future; and strong alignment with their franchisees. The success we're having is evident not only in our financial results, but also in the market share gains we're experiencing in these highly competitive markets. Our market leadership teams are engaging more frequently than ever to share ideas, discuss common opportunities, and ultimately develop holistic plans to fuel momentum into the future. France continued to outperform the branded IEO market, despite challenging macroeconomic conditions, including rising unemployment rates and ongoing public safety concerns. Value remains a priority. And the relaunch of the McFirst platform in March, combined with additional value options including new proteins and product lines, helped strengthen our value proposition. We complemented these efforts with successful limited-time offers at the premium end, including the Grand Premium with a new chicken fillet, and the new American Winter food events, to enhance our relevancy and appeal to customers in this important market. Guest counts remain negative in Germany. In an effort to strengthen our appeal to price-conscious consumers, we launched a new pricing structure in February. Our goal is to offer the right value equation across the entire menu. Initial results were in line with expectations, but it was not sufficient to stem overall guest count declines. In the High Growth segments, first quarter comparable sales increased 3.6%, as China and Russia continue to recover from prior-year challenges. China delivered strong comparable sales growth of 7.2%. The market also made significant gains in market share, despite persistently challenging macroeconomic conditions. Performance was driven by successful execution of multiple initiatives, including new products like chicken snacks, alongside growth across the delivery, value, and breakfast platforms. Solid comparable sales performance in Russia reflects ongoing recovery of brand trust. However, we expect macroeconomic uncertainties and decreasing consumer purchasing power to remain headwinds through the rest of 2016. I'd be remiss if I didn't call out Japan, where comparable sales increased 27%, due, in part, to: recovery from the prior year impact of the 2014 supplier issue; the successful marketing promotions, like the (9:14), along with strong value offers, reflect the success the market is having as it executes its revitalization plan and regains brand trust. I am pleased with the progress we've made in the 13 months since I became CEO. We are making improvements that our customers are noticing to serve hotter, fresher food with improved overall service experience. We are returning many of our critical markets to growth in terms of sales, guest counts, and market share. And we're increasing profitability both for the company and our franchisees, whose cash flow's approaching all-time highs in many of our major markets. We've taken bold decisive actions that are delivering sustainable benefits. Our decision last year to close underperforming restaurants in several markets, including China, have directly contributed to improved financial performance. In addition, the improvements we made to our compensation and benefits package for our employees in U.S. company-operated restaurants, along with expanding Archways To Opportunity, a program which is now providing tuition assistance to more than 5,000 eligible employees at both company-operated and franchise restaurants, have resulted in lower crew turnover and higher customer satisfaction scores. At the same time, we're applying forensic analytics across all aspects of our businesses, both from an external and internal viewpoint, to identify and pursue opportunities for longer-term growth. This includes innovation in markets around the world. For example, with menu, we're innovating to address customers' changing demands at every price tier. This includes work being done at the premium end of the menu, such as the new Signature Collection, which was piloted in the UK in the first quarter, as well as enhancements to our value offer, like the new McPick 2 platform in the U.S. We're also innovating around service. As we roll out self-order kiosks, table service, and the mobile app, we're providing customers with more choice and flexibility, as we make progress toward McDonald's Experience of the Future. We're evaluating opportunities to enhance the experience for restaurant employees, too. For example, the U.S. and the UK are working together to develop a new teaching approach for shift managers. This new training module extends beyond core operations education into leadership competencies, to help shift managers learn how to coach and motivate crew to deliver a better customer experience. As we learn from local market innovations, we're tapping into the power of our new segment operating structure to more quickly share knowledge and scale the most successful ideas across markets. The rollout of All Day Breakfast in Australia in the first quarter was a testament to our ability to move winning plays quickly between markets. We're also continuing to pursue opportunities to grow the business through new restaurant openings. In fact, last month, we opened our first restaurant in Kazakhstan, our 120th market. We received an overwhelming amount of enthusiasm and support from the local community. By the end of the first day, we'd sold over 2,000 Big Macs. I'm confident in the actions we're taking. Our turnaround plan is working and, for this reason, the plan will remain our framework for at least two more quarters. Later this year, we will evolve to a longer-term strategic plan to further sustain our momentum. In closing, I am encouraged by the progress we have made and energized by the opportunities ahead. Across our entire system, we are more in line than ever on running great restaurants each and every day and on providing our customers with what is most important to them: hot, fresh food; fast, friendly service; and a contemporary restaurant experience at the value of McDonald's. The actions we've taken are working. Customers are noting a difference and are choosing McDonald's more often. As we look to the future, we will continue to execute against our turnaround plan in the near-term, while we begin to lay a foundation for generating sustainable profitable growth over the long-term. Thanks, everyone. And now, I'll turn it over to Kevin.
Kevin M. Ozan - Chief Financial Officer & Executive Vice President: Thanks, Steve, and hello, everyone. As Steve mentioned, our business turnaround is taking hold. The positive momentum and solid improvements in our underlying business performance over the last three quarters serve as proof points of our progress. Today, I'd like to review the major components of our first quarter operating results, provide a few updates on our outlook for 2016, and discuss recent developments related to our financial strategies. Let's start with a high-level look at first quarter performance. Results for the quarter benefited from stronger operating performance, with global operating income up nearly $400 million, or 28%; 33% in constant currencies. The most significant contributions came from sales-driven growth in franchise margins, lead by the U.S. and the International Lead markets and the sales recovery in Japan that Steve mentioned, which contributed to higher other operating income. These items accounted for almost $200 million, or about half of our operating income growth for the quarter. The other half of our growth was driven by comparison against the $195 million in strategic charges taken last year related to our restructuring and refranchising initiatives. Growth in global company-operated margins also contributed to quarterly results, with margins up 110 basis points. The High Growth markets, in particular, China, lead the margin improvement. In the U.S., while company-operated margins declined 110 basis points for the quarter, solid comparable sales growth and favorable commodity costs helped offset most of the impact from our prior-year decision to increase crew wages and benefits effective July 1, 2015. Second quarter of 2016 will be the last quarter the U.S. company-operated margins will be negatively impacted by these wage comparisons. Similar to the past three quarters, we expect existing labor pressures to negatively impact U.S. company-operated margins by 350 to 400 basis points in second quarter. While we're on the topic of company-operated margins, I'd like to provide updates on a few of the key margin inputs, including menu pricing and commodity costs. In the U.S., first quarter pricing year-over-year was up over 3%, compared with food away from home inflation of around 2.7%. We continue to keep a close eye on food away from home inflation, which is projected to be between 2.5% and 3.5% for the full year. For the International Lead segment, while price increases vary by market, year-over-year increases for these markets average 2% to 3%. From a global pricing standpoint, we're planning for more limited pricing power in those markets that are experiencing low inflation to ensure that we maintain our focus on growing guest counts. Moving to commodity costs, in the U.S., commodity costs were down 3% during the first quarter, and are expected to decline 3.5% to 4.5% for the year. For the International Lead segment, commodity costs were relatively flat for the quarter, and are expected to remain relatively flat for the year. Turning now to foreign currencies, more recently, the U.S. dollar has weakened against most of the world's other major foreign currencies. At current rates, currency translation is expected to be less of a headwind on full-year results, and is now estimated to negatively impact second quarter by $0.02 to $0.04, and full-year by $0.05 to $0.07. As always, please take this as directional guidance only, because rates will change as we move throughout the year. Next, I'd like to provide updates on our refranchising, cash return to shareholders and G&A targets. Last year, we committed to strategically evaluating ownership structures, with the goal of becoming around 95% franchised over the long-term. In the past five quarters, we've refranchised about 700 restaurants, including over 200 in the first quarter this year. The large majority of these were sold to existing conventional franchisees. As part of the forensic review of our ownership structures and strategic allocation of resources around the world, during the first quarter, we also initiated new refranchising activities in several markets in Asia and Europe. In Asia, we announced plans to further unlock growth potential with emphasis on three markets in our High Growth segment, China, Korea, and Hong Kong. These markets collectively operate almost 2,900 restaurants, of which about 70% are company-owned. Given the relatively higher restaurant expansion and franchising potential in these markets, our intent is to identify strategic partners, with skills and expertise that will enhance our competitive advantages and bring additional capital resources, to further invest in and grow the business. We remain optimistic about the future of our McDonald's brand in Asia, with plans to add at least 1,500 restaurants across China, Hong Kong, and Korea over the next five years. In Europe, we're working to identify a strategic partner in the Nordic markets, which include about 460 restaurants, the vast majority of which are operated by independent franchisees. We believe opportunities exist in the Nordic Region, and that a sale to a local partner can result in an optimal structure for both McDonald's and the future success of these markets. Due to the unique nature and size of many of these markets and the importance of finding the right partners, it's important to keep in mind that these transactions may take 12 to 18 months to complete. At the end of 2015, we also started to lay groundwork to complete the final year of our three-year $30 billion cash return to shareholders target. In February, we initiated a $2.7 billion accelerated share repurchase program in conjunction with this target. This program was a significant component of the $3.7 billion in shares repurchased during the quarter. Our ability to pursue a more aggressive share repurchase pace during the first quarter was supported by the financing completed in December last year. Looking ahead, we expect further debt additions in the coming months, as we opportunistically take advantage of favorable interest rates while maintaining our strong investment grade credit rating. From a G&A standpoint, we remain on track to achieve our net annual G&A savings target of $500 million, the vast majority of which is expected to be realized by the end of 2017. Over the course of the last year, we've brought greater discipline and focus to the business, and we've made meaningful and tangible progress against our turnaround plans. Although we have come a long way, there is still a lot of work to be done to achieve the goals that we've established. As we move through 2016, we are keenly focused on maintaining the positive momentum we've created. This momentum is a direct result of a renewed focus on our customers and running great restaurants. We will stay the course and complete the critical steps of our turnaround to position the business for success as we chart our strategic long-term path forward. We are mindful of both the opportunities and challenges ahead. Overall, we continue to expect variability in quarterly results, due to uneven prior-year comparisons and some headwinds that exist, including macroeconomic issues in certain key markets. In addition, we recognize that opportunities still exist to further strengthen and generate strong guest traffic in some of our key markets around the world. In closing, the financial results achieved are a testament to the collective efforts of our franchisees, suppliers and employees to reset our business. We are on our way toward becoming a modern and progressive burger company. Like Steve, I was energized by our worldwide convention last week, as I saw first-hand the tremendous focus, discipline and passion of our unique system. I am confident that we can continue to deliver on the progress that we've already made to enhance long-term shareholder value in 2016 and beyond. Thanks. Now, I'll turn it over to Chris to begin our Q&A.
Chris Stent - Vice President-Investor Relations: Thanks, Kevin. We will now open the call for analyst and investor questions. The first question is from Jake Bartlett of SunTrust.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Thanks for taking the call. Steve, in the last couple press releases, you've mentioned positive same-store sales or positive momentum in each segment in the current quarter. It wasn't in this release. Should we be reading something into that? If you could clarify, that'd be great.
Stephen J. Easterbrook - President, Chief Executive Officer & Director: No, thank you, Jake, and that was very conscious from us. I felt in the early stages of the turnaround, it was important for us to demonstrate confidence that the actions we were taking were resonating. And to provide that shorter-term guidance, I thought helped to reinforce that we were beginning to get on the move. Now, we're two to three quarters in, I'm confident to say that the turnaround is taking hold, and you've seen the results we've delivered. And, as a result, customers are responding to the changes we're making, and momentum is a very powerful word in our business. And, as a result, we're confident on executing our plans and don't actually see it as being necessary to offer shorter-term guidance.
Chris Stent - Vice President-Investor Relations: Next question is from Brian Bittner of Oppenheimer.
Brian J. Bittner - Oppenheimer & Co., Inc. (Broker): Thanks. Thanks for taking the question. Just want to focus on the U.S. business as kind of two questions; you've obviously done an extraordinary job reigniting the sales growth. Your gap against the industry in the fourth quarter was close to 300 basis points, and it was about half that this quarter. And it's still an amazing trend, but is the difference between the two quarters just really the fact that you got a bit more initial strength that came with launching All Day Breakfast, and now this outperformance gap you're seeing is a little bit more of a reasonable expectation that we should have going forward? And the quick follow-up to that is, as we look past this first quarter into the future, do you think the stickiness that comes with regaining momentum with your customer base is enough or do you really feel the need that you got to take on much more dramatic operational risks like the All Day Breakfast that can pay off pretty big going forward? Thanks.
Stephen J. Easterbrook - President, Chief Executive Officer & Director: Yeah, thanks, Brian. In terms of the gap, I think that was a fair assessment. I mean, we clearly came out of the tracks hard with All Day Breakfast. It exceeded our expectations through the launch phase, and then hit a more settled rate. Frankly, it's still exceeding our expectations through the settled stage as well. So we're incredibly encouraged. Frankly, maintaining that positive gap is important to me. The absolute magnitude quarter-to-quarter, I'm less concerned about, as long as we're taking share and customers are turning in our doors rather than others, then I'm confident that we're delivering the right plans. In terms of stickiness, something that gives me a great degree of confidence in the way that the U.S. team, the operator leadership and our own leadership team have built in the plans is the success is not being based on tactics. We're establishing foundations of growth. And if I were just to give you four of them currently in play, and clearly we're going to be working on more, the operational improvement, honestly, I would celebrate that as much as All Day Breakfast. We are focusing on getting the basics right in the restaurant. And the team are really focused and they're delivering well, and customers are telling us that. So I can't emphasize enough how important it is to get the nuts and bolts right for the 20 million-odd customers every day. The investment that the U.S. team, operators and company have made through food and food quality is being recognized by customers. So whether it's the announcement we're moving to cage-free eggs, or removal of antibiotics harmful to human health from the poultry supply chain, whether it's the deep attention to detail on the Quarter Pounder beef patty and toasting of buns, the investment in the quality is getting recognized by customers. And that's valuable. That's long-term at well. Then you've got All Day Breakfast, which has been clearly a very strong catalyst for momentum, which is wonderful. We're in that nice situation now where we're challenging ourselves to how much more can we do. Customers are asking us for more. We're looking at that very carefully to see whether that's a platform that not only is sustaining, but can actually grow. And then, as we spoke about through this quarter, we have struggled to find the right value platform over the last year or two. We believe through the McPick 2 platform as a whole, we have the flexibility at both national and local level, such that we can offer compelling value at different price points, different times of year, and maybe slightly different offers in different parts of the country depending on the consumer set, but we believe that could be a platform that continue to offer growth opportunity and drive customers in. That's what we've got in play now. And clearly, there are other things that we're looking at around new product development and also around investing in our restaurants in what we're calling the Experience of the Future. Now, I won't carry on, because I want to get through some more questions, but the point I'm really trying iterate is these are platforms of growth which give me confidence in the stickiness of our momentum, and we have no plans to ease up, I can assure you.
Chris Stent - Vice President-Investor Relations: Next question is from Keith Siegner of UBS.
Keith R. Siegner - UBS Securities LLC: Thank you. Coming off the operator convention, and considering the comments that much of the refranchising thus far was to existing franchisees, could you talk about your philosophy for that franchising? In other words, the five to seven unit averages in the U.S. and maybe how that plays out internationally, could we see consolidation here? Is five to seven the right number or maybe a few bigger core anchor folks? Could there be benefits to that? What is your philosophy towards those franchisees going forward? Thanks.
Stephen J. Easterbrook - President, Chief Executive Officer & Director: It's a great question, Keith. I mean, part of what we have worked hard across this last year, in order to firm up our plans moving forward, some of the big, strategic plans is with our new structure now, we have much better visibility into our top 14, 15 markets. And frankly, there is not a common philosophy across those, because every market's in a different position. So if we're to make the strategic choices we have in China and Asia, for example, or up into the Scandinavian markets, that's because we have got very forensic and we think that's in the long-term best interests of the markets and of our long-term growth and that ownership model. Your question more to the U.S., I'm sensing is more to the U.S., where we have typically been five to seven. The philosophy that is critical to us is never losing that entrepreneurial spirit, and the owner/operators being engaged in their local communities. Now, that can be done at a 50 restaurant level. That can be done at five restaurant level. That can be done at a one restaurant level. So, to us, the importance is having the right partnership to be operated with the right mindset. Could we see consolidation? We could do a little. Does that give us fewer, stronger operators and a stronger balance sheet and their ability to invest in scale? It could do. But, at the same time, we're also introducing new franchisees to the system, because they come in with new ideas and new energy and keep us fresh. We also see it through the Next Generation Programs we have, where sons or daughters of existing franchisees want to enter the business, and that brings us new ideas and a fresh energy. So the underlying philosophy remains the same. The execution market-by-market, I believe we've got much more, much deeper meaningful thought to it that we can address this market-by-market. I think it will serve us well into the long-term.
Chris Stent - Vice President-Investor Relations: Next question is from Andrew Charles of Cowen.
Andrew Charles - Cowen & Co. LLC: Great, thank you. I guess you guys mentioned before the National Value Platform coming up later this year will incorporate multiple price points, multiple menu items. So I'm curious about the learnings you gathered from the two McPick 2 tests. You mentioned that there was several different customer bases that they targeted. And just kind of curious what you derived from these promotions to help shape the National Value Platform for later this year? Thanks.
Stephen J. Easterbrook - President, Chief Executive Officer & Director: Yeah, no, it's fair question, Andrew. So, I guess when I say there were different customer groups, when you're looking at McPick 2 for $2, you are typically addressing the value-conscious, the most value-conscious customers, so I guess people who are looking for a deal. And that is important, and particularly important at certain times of year. So if you're coming out of the Christmas period, and it's been a high-spend period, a dollar here and a dollar there matters to consumers through January in particular, for example. So that deal for the value-conscious consumer at that particular time at a national level resonated well. If you look at a 2 for $5 for example, it's a different construct. You're looking at people who may be going in, maybe there's two people going in, and they start to construct a meal around that deal and feel they're getting value that way, so slightly different customer group. It could be the same customer may care for both, but there could be a different group as well. And part of what we're learning is at what level do we want to deploy this at a national level, and use that national marketing muscle. And how much do we want to allow the flexibility at the regional level, because we've got these re-energized regions, 23 of them, around the U.S. and they want to bring it to life. But maybe the menu mix in that deal could be different in the Southwest of the country than it would be in the Northeast. And I think that flexibility, knowing your consumer group, knowing your competitive group, knowing what that value price is, allows us to unleash on the power of our regional marketing muscle. So you will see us dial it up and down, national and local, but the one thing you will always see, there will always be value at McDonald's.
Chris Stent - Vice President-Investor Relations: Next question is from Will Slabaugh of Stephens.
Will Slabaugh - Stephens, Inc.: Yeah, thanks, guys. Another question on the U.S., we have been hearing from some of the casual diners, in particular, that QSR (33:34) platform, such as your 2 for $5, have been taking share at lunch. So, I'm curious if you have any color on daypart grows in the U.S. And secondarily, if you feel like there is more room to innovate around that $4 to $5 price point to make McDonald's even more of a meal solution versus, maybe, historically, some of that focus on the $1 to $2 price points in driving value traffic?
Stephen J. Easterbrook - President, Chief Executive Officer & Director: Yes, I'll certainly kick off, and maybe Kevin can come in and relieve me. So, we're seeing success across all dayparts. So, one of the very reassuring elements of All Day Breakfast was that whilst we clearly added incremental visits and incremental spend across rest of day, our breakfast business has also prospered as well. So, that's very strong. In terms of innovating at different price points, I mean, that's absolutely what we're trying to do, whether it's through breakfast, filling that little price gap between the entry level and whether it's EVM or the Big Mac, Quarter Pounder Cheese, six-nugget level. So we continue to innovate. I mean, Kevin may want to offer a little more on this.
Kevin M. Ozan - Chief Financial Officer & Executive Vice President: The only additional color I'd add is in first quarter, all dayparts were positive, contributing to that comp sales growth. So the lunch daypart is definitely providing the largest impact, but every single daypart was positive, so it isn't being driven by one specific daypart or anything along those lines. The advantage, from our standpoint, is to see the broad-based growth across the entire day and evening, and so that's what gives us confidence going forward.
Stephen J. Easterbrook - President, Chief Executive Officer & Director: And in terms of where our growth is coming from, just to close off that final piece, I mean, the reality is we're growing share and opening that gap now in the QSR sandwich segment, but when we get 14,000 restaurants on a roll, customers tend to come from quite a few places. So I'm not surprised if other people are feeling the impacts of it, but at the moment, we want to win our home games. We want to win the QSR segment, and we want to get back to a leadership position there.
Chris Stent - Vice President-Investor Relations: Next question is from David Tarantino of Baird.
David E. Tarantino - Robert W. Baird & Co., Inc. (Broker): Hi, good morning, and congrats on a great start to the year. My question's about the U.S. business. And, in particular, I was wondering if you could share some detail on what the guest count trend you saw in Q1 was, perhaps if you could also factor in the trading day in that response. And then, you mentioned towards the end of the prepared remarks, that you want to drive better guest counts as this year progresses in key markets. And I assume that that includes the U.S., so if you could talk about kind of what you think the keys are to drive better guest counts in the U.S., whether it's value or speed of service, that would be helpful. Thanks.
Stephen J. Easterbrook - President, Chief Executive Officer & Director: Yes, so I can say for the U.S. guest counts, we're positive for the quarter. If we were to net out the leap day, guest counts were positive for the quarter. So that is a further sign of momentum returning to the U.S. business. In terms of the comment regarding guest count in key markets around the world, around the world, we have strong value platforms in many of our major markets. So this is not a price-driven guest count discussion. This is around what can we do to enhance the experience, such that customers enjoy sufficiently they just come back more often, or we attract lapsed customers back or new customers to the business. But the first point of check is, is our value platform right? We're working on that for example in Germany. I acknowledged that. We haven't quite got it right yet, so we'll continue to firm that up. In many of our other markets, our desire to grow guest count, which is the ultimate signal of strength of the business, is more around enhancing the broader experience. So, as I say, this is not price-led. This is how can we make the visit to McDonald's more convenient, more fun, more engaging, such that when you come to make those decisions of where you're going to eat, more people just turn our way than anywhere else. So it's a much more holistic desire, but ultimately guest count is the lifeblood of our business. And I'd like to see greater strength there, but I'm very happy with the trends we're seeing.
Chris Stent - Vice President-Investor Relations: Next question is from John Glass of Morgan Stanley. John?
John Glass - Morgan Stanley & Co. LLC: Hear me okay?
Stephen J. Easterbrook - President, Chief Executive Officer & Director: Oh, we got you now. Hi, John.
John Glass - Morgan Stanley & Co. LLC: Okay, good. Good, sorry. Thank you. I wanted to talk about the refranchising that you guys talked about in Asia specifically, maybe just put some numbers to it. So those three markets you've identified, China, Hong Kong, and Korea, what's the total operating profit in those collectively? What's the capital spending in those markets collectively? As you think about a refranchising transaction, I assume it's dilutive at some level. And do you think of it as holistically, it's accretive once you put buybacks in place, some high-level thoughts about how the mechanics of that might work in the early days.
Kevin M. Ozan - Chief Financial Officer & Executive Vice President: So in those three markets, as I mentioned, it's about 2,900 restaurants, about 70% company-owned. We don't break out capital by markets, so I won't get into total capital really to that, but fair to say that, as you know, we're growing substantially in places like China and Korea. So it's got a meaningful amount of capital that we're spending on growing there. And the thinking is that if we can find the right partners there, we want to make sure we find the right strategic partner that has complementary skills and expertise and also has sufficient capital to unlock the growth potential there. So the way we think about it is if someone else can use their resources to grow the business, we'll participate in that growth through an increased royalty, and effectively reduce G&A and capital that right now we're spending related to those countries.
Stephen J. Easterbrook - President, Chief Executive Officer & Director: John, just to add to what Kevin said, the underlying message that I was very keen to communicate, which is why I went out to China to visit the team and make the announcement, this is about accelerating growth. So our run rate in China, for example, is typically around 250 restaurant openings per year. We want to find the right strategic partner that meets and most likely exceeds that. So this is about accelerating into the market opportunity. And as we sit here with our more appropriate fiscal discipline across our business, we have a lot of demands for our capital, and a lot of choices where we want to invest our G&A. And therefore, we're just making that resource allocation discussion. China is a wonderful opportunity. We're going to continue to participate in it. And our desire and expectation is to accelerate our growth there.
Chris Stent - Vice President-Investor Relations: Next question is from David Palmer of RBC.
David Palmer - RBC Capital Markets LLC: Thanks, good morning. I was wondering how you view the path to improved restaurant margins. As we look at the spreadsheet here, we're seeing a few hundred basis points lower margins, roughly, or more, than where you were at peak back in 2010, in spite of the fact that food margins will likely be closer to that level. So it is really coming through leverage throughout the rest of the restaurant P&L, and the refranchising will cause some company margin gains, but just thinking across the system, is it going to take a lot of ADB growth to approach the past peaks, or is there other efficiency productivity stuff that you're working on that can help those margins? Thanks.
Kevin M. Ozan - Chief Financial Officer & Executive Vice President: Thanks, David. I guess I'd say, as we both well know, margins are certainly a top-line game for us. We need positive comp sales to help grow margins. Specifically related to the U.S., now that we're seeing certainly stronger comp sales, that will help our margins going forward. As I mentioned, in the second quarter this year, well, beginning in third quarter, we'll begin to lap the additional labor costs related to crew wages and benefits. So that will help from a comparison standpoint. But historically, we've always said that in a normal inflationary environment, we need about a 2% to 3% comp to maintain margins. Nothing structurally has changed in our business to change that on a long-term basis. A little inflation wouldn't hurt from a pricing standpoint, so we have to be careful with commodity costs where they are, but I think we feel pretty good about margins going forward, as long as we can maintain our growth in comparable sales there.
Stephen J. Easterbrook - President, Chief Executive Officer & Director: David, the way I look at the U.S., I think, given the investment costs that they absorbed around the crew wages and benefits, I think they turned in a very, very strong performance in terms of their operating margin. Sales growth clearly supports it. Lower turnover of crew has made us more efficient and effective in the restaurants. The commodity outlook is increasingly favorable, as we just highlighted, so I think that now we're nine months into the cycle. After 12 months, I think we'll see a nice step-up in company-operated margins. And do take a look at International Lead markets as well. Again, strong performance as they go through. First of all, top-line growth is the primary driver. As they go through their refranchising plans as well, you'll see continued strength in the operating margin there as well. So I feel we have lined up this business to deliver long-term, strong margin returns for all stakeholders.
Chris Stent - Vice President-Investor Relations: Next question is from Joe Buckley at Bank of America Merrill Lynch.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Thank you. Steve, when you said about the operational improvements in the U.S., are there specific things, like staffing or speed of service, that kind of drive it? Are there one or two, two or three things that you can point to on the operational improvement side? And then just a question of the High Growth markets, could you talk a little bit more about the performance of the various markets in that category?
Stephen J. Easterbrook - President, Chief Executive Officer & Director: Yeah, okay. Thanks, Joe. So operational improvement in the U.S., I mean, it is so multi-faceted, that I could take hours. I'd love to, because I just love what they're doing. So simply put, we have made the experience easier for customers and easier for crew, and easier to get right. So, they have had a particular focus, having identified that the core frustration for customers was accuracy through the drive-thru, which then impacts service times. So, they put a number of initiatives in place, such as simplified menu boards, new crew training procedures, as we've described as Ask, Ask, Tell, just another way that we help ensure we get the accuracy right through the whole customer experience, from ordering through pay through collect. But we're into the real details. We're into the font size on the printers, the receipts. Actually, it's easier to spot the special requests, for example, or the special orders. So I can't even tell you how detailed the team has got to help our restaurant teams get it right more often. And ultimately, the beneficiary is the customer on this. And they playing it back through all the customer metrics we have, whether it's through mystery shoppers, through our own operational grading standards, we are seeing these effects take place. And honestly, that is the primary driver of customer satisfaction, getting it right, hot, fresh food and friendly service. In terms of High Growth, so I tend to call out China and Russia, just because of the scale and the potential of those markets, but we had great performance out of Netherlands, great performance out of Hong Kong, great performance out of Poland, great performance out of Korea through the quarter. And these aren't one-offs. So, I appreciate the question, because it gives us a chance to demonstrate how broad the momentum in this business is. And it's not limited just to the High Growth markets. I mean, if I just look at: Western Europe as a whole, growing strongly; Central Europe, growing strongly; Middle East, strong growth through the Middle East; Latin America, there is turbulence, as there often is in there, but overall strong growth; Asia, Australasia, as well as North America; and calling out Canada as well as the U.S. So, we are seeing a lot of strong momentum. Is it perfect? No. Are there markets we still have work to do? Absolutely, yes. And we're never satisfied, but part of the confidence we have that the turnaround is taking hold is because of the broad-based growth we're experiencing.
Chris Stent - Vice President-Investor Relations: Next question is from Jason West at Credit Suisse.
Jason West - Credit Suisse Securities (USA) LLC (Broker): Yeah, thanks. Obviously, things are going very well here. And just to kind of nitpick a little bit, I guess, if you look at the U.S. comps on a two-year or three-year basis, particularly backing out leap day, they're not extremely robust quite yet. And just wondering your thoughts around the ability to continue to accelerate the business on a two-year basis, and maybe if there's anything out there in the U.S. that you think is holding back the customer from coming more regularly or showing a little bit more strength there as you move forward and the compares start to get a little tougher? Thanks.
Stephen J. Easterbrook - President, Chief Executive Officer & Director: Yeah, well, I mean, so absolutely early stage of the turnaround, Jason. So absolutely, we don't think we've cracked it. What we have done, we're beginning to get back and grow on that two-year basis. We look at it on a week-to-week basis, I can assure you, on a month-to-month basis, and a quarter-to-quarter basis. And our two-year lifeline is moving into positive territory. And that's at the early stage of the turnaround. As we build out our plans for further sustained growth, clearly we want to see that trend continue. I'm not sure there is much more to say on that. I mean, it's, yeah, early stages, but I tell you what, we've got it back and some. So, there is two-year growth across each of the months across the first quarter, which I feel good about. And that is one of the measures we look at. So that complacency doesn't set in. We have a restless energy here. We've just got going and a lot of the theme around the biennial convention last week was around accelerating with momentum, and not just sitting tight with the momentum. So, that's how we're galvanizing ourselves. That's how we're challenging ourselves. And these platforms that the U.S. has introduced, I'm confident will maintain that stickiness. But we want to layer further platforms on top of that, which is exactly the ingredients of success through that kind of 2003, 2004 through to 2010, 2011 period was we were layering platforms of growth on top of each other that are complementary and customer-driven. And we have no plans to let up, that's for sure.
Chris Stent - Vice President-Investor Relations: Next question is from Matt DiFrisco of Guggenheim.
Matthew DiFrisco - Guggenheim Securities LLC: Thank you. I just wondered if you could give us just a follow-up on the G&A question there. I think you said $500 million savings realized by the end of 2017. I think the G&A in this current quarter seemed a little bit higher than maybe some had modeled. I wondered if you can give us a little bit greater clarity on that cadence throughout, even just as far as how much of that $500 million should be realized through 2016, if you can give us some sort of color on that.
Kevin M. Ozan - Chief Financial Officer & Executive Vice President: Yeah, thanks, Matt. Regarding the G&A, so let me first talk about first quarter, which was up just compared to last year, basically because of higher incentive compensation than last year. So a lot of that is driven by last year's lack of incentive comp, if you will, in the first quarter as much as this year's incentive comp that's in there. Looking forward, both to 2016 and beyond, couple things, we achieved about $75 million of our total savings in 2015, and built within that 1% to 2% guidance is another about $75 million in 2016. Now, there are two swing factors, if you will, that could impact the actual reported G&A this year. And I'm talking on a constant currency basis, so obviously currency also impacts it. But when we think about the targets, we exclude currency, so the actual numbers you'll see reported may be different because of currency impact. But ignoring that, the other two swing factors, if you will, are, one, incentive comp, where if you think about 2014, we had very little, if you will, incentive comp as a company. 2015, we got back to a more normal. So you can get a big swing from one year to the next on incentive comp. But all of that is driven by business performance, so we'll only have the incentive comp obviously if we're driving business performance. But that could swing things, plus or minus, that down 1% to 2% guidance. The other swing is the timing of some of these large refranchising transactions. When we do our plans at the beginning of the year, we're effectively estimating when those will occur. And they become very complex as we get into these transactions. And so to exactly pinpoint the timing of when those occur becomes really difficult. So it's possible that something that we may have thought was going to happen at the end of 2016 could potentially slip to the beginning of 2017. And that may impact the timing of some of our G&A savings, but, other than that, we're on track for the $500 million. We're still completely confident in the $500 million by the end of 2017. And it becomes just a timing issue between 2016 and 2017.
Chris Stent - Vice President-Investor Relations: Next question is from Jeff Farmer of Wells Fargo.
Jeff D. Farmer - Wells Fargo Securities LLC: You guys moved off of the 2 for $5 national marketing window. I think that was late March, and moved to MONOPOLY. Did you see a big chunk of your franchisees choose to stay with that 2 for $5 promotion? And I guess the follow-up question would be, if so, is there any insight to be had as it relates to the 2 for $5's impact on transaction growth, average check, whatever you want to point to, operating profit per transaction, anything like that on the read-through perspective?
Stephen J. Easterbrook - President, Chief Executive Officer & Director: So a good number of the franchisees did stick with the 2 for $5. They felt it was a really strong contributor to their March, which it was, from a top-line, from a guest count, and from a bottom-line perspective. What we're also seeing now is our local co-ops now having really good discussions around the McPick 2 for $2, 2 for $5, and which windows to execute. So I don't have a general response for you, but I would say that the conversation around value at a regional level and a co-op level is where to dial up 2 for $5, where to dial up the 2 for $2, what time of year, and to be complementary with whatever else is going on. So, for example, if you can collect the MONOPOLY tokens on certain items, then reinforcing that through the value, just drives further trial of the MONOPOLY promotion, for example. So it's complementary. So, again, the local teams are working on that. And, as I say, you can certainly expect to see them up to platform feature through the rest of this year, either at a national or local level.
Kevin M. Ozan - Chief Financial Officer & Executive Vice President: The only other thing I'd say about the 2 for $5 is, we did see some trade-up and definitely a higher average check with that platform. And you can see from the margin performance in the U.S., kind of overall for the quarter, that these value platforms support good margins, I'll say, too. So it's not just discounting products at low margins. We still can realize good margins with that platform.
Chris Stent - Vice President-Investor Relations: Looks like we have time from one more question from Jeff Bernstein of Barclays.
Jeffrey Bernstein - Barclays Capital, Inc.: Great. Thank you very much. Just a follow-up on the U.S. quick service category, I mean, obviously, your rebound has been strong, and yet others seem to be holding onto their strong results as well, and I think you've demonstrated that with the fact that the gap between yourself and the industry has narrowed pretty meaningfully. So I'm wondering whether that has surprised you, how you'd kind of assess maybe the quick service category, where the share's maybe coming from, it seems like everyone's got pretty compelling value, so that would be a big driver taking share from elsewhere. And being that you just spoke to franchisees last week, I'm just wondering, as an aside, I'm sure they sound pretty good. But what's the greatest push-back you're hearing today, now that it seems like you have the momentum? Where are they kind of coming back at you asking for some change or frustration of any kind? Just wondering what their sentiment is. Thanks.
Stephen J. Easterbrook - President, Chief Executive Officer & Director: In terms of the share discussion, no surprise at all, to be honest. It's an incredibly competitive category. It is around the world. So here in the U.S., I think nine of our 11 major markets grew share in the last three months, which I think is a very strong support. The two that didn't are fully aware of that and addressing that in the near-term. The U.S. performance, just continuing outperformance paints us as a winner. So and then you either win or you lose market share. If we keep gaining, then typically when a business of our scale gains within our sector, we do pretty well. So there's no surprise. It will continue to ebb and flow, but as long as we keep gaining share, then I will remain very, very satisfied in the achievements. In terms of the owner/operator mood from last week, the wonderful challenge we have now is holding the operators back. I mean, there's a lot of enthusiasm to be part of the future plans that we've laid out. And we started to give them a sneak peek of what that longer-term strategy should look like, and there's a lot of excitement around it. There's investment that goes along with that, so there's things we still need to work through. And that's why we're having these test markets and test regions to further explore and learn. But, at the moment, the enthusiasm is great. And we're just trying to keep people focused in channels, and making sure that we are helping them build their businesses for long-term profitably as well as our own. So in terms of anything on the negative side, it was difficult to find much last week, to be honest. And that's not always been the case. I'm not going to assume it will always be the case in the future. But I think the alignment with the owner/operators is as strong as I can remember it. And it gives me just further confidence that we're on the right track, and we're all winning together on this one.
Chris Stent - Vice President-Investor Relations: We're near the top of the hour, so I'll turn it over to Steve, who has a few closing comments.
Stephen J. Easterbrook - President, Chief Executive Officer & Director: Yeah, thanks, Chris. And thanks again to everyone for joining us this morning. In closing, I do want to re-emphasize the strong alignment, as I just mentioned, we have across the system, on running great restaurants and elevating all aspects of the customer experience. The actions we've taken to serve our guests hotter, fresher food with lots of friendly service and a contemporary restaurant experience, and at the value of McDonald's, are working. Customers are noticing a difference and they're coming to McDonald's more often. This is reflected in our first quarter financial results and in the market share gains we're experiencing in many markets around the world. We know there's still more work to do, and that's why we remain committed to executing our turnaround plans for at least two more quarters. I am encouraged by the progress we have made, and I'm excited about our longer-term opportunities to strengthen our business and reassert McDonald's leadership position around the world. Thanks to all of you and have a great day.
Operator: This concludes McDonald's Corporation investor conference call. You may now disconnect.